Operator: Good day, and welcome to the Cogeco, Inc. and Cogeco Communications, Inc. Q4 2020 Earnings Conference Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Patrice Ouimet, Senior Vice President and Chief Financial Officer of Cogeco, Inc. and Cogeco Communications, Inc. Please go ahead, Mr. Ouimet.
Patrice Ouimet: Good morning, everybody, and welcome to our fourth quarter conference call, which Philippe Jetté and I’ll cover. Before we begin this call, as usual, we would like to remind listeners that the call is subject to forward-looking statements, which can be found in the press releases issued yesterday. I’ll turn the call over to Philippe Jetté.
Philippe Jetté: Thank you, Patrice, and good morning, ladies, gentlemen, and shareholders of Cogeco Communications, Inc. and Cogeco, Inc., and thank you for joining us to discuss the results of our fourth quarter and fiscal year ending August 31, 2020. I would like to first address the unsolicited proposals from Rogers and Altice to acquire both Cogeco, Inc, and Cogeco Communications, which were rejected by the company’s Board of Directors, taking into consideration the members of the older family’s unanimous rejection of the proposals. I would like to highlight the stewardship, the older family has provided to the corporations over the last 63 years, which has allowed the corporations to grow and prosper. Today, Cogeco enjoy a unique and a viable position as the only broadband services company with a significant presence in both Canada and the United States. As all of the facts are out there, including the November 18 end date, there is nothing to add on this matter. I would like to begin the call by highlighting the key strategic initiatives Cogeco Communications made in recent years, which are contributing to the company’s growth and the fourth quarter’s results. Cogeco has clearly positioned itself as a consolidator of regional cable operators. In the U.S. alone, we made five acquisitions, totaling approx CAD 4 billion in the last eight years. The integration of these acquisitions were all well executed as it demonstrated by consistency – consistently superior organic growth, partly due to internet penetration increasing from 33% to 53%. And the second one of the U.S. industry is EBITDA margins at 45%. Second, the COVID-19 pandemic has not stopped us from pursuing our activities with the closing of the Thames Valley acquisition in the U.S. in March, the closing of the iTéract acquisition in Canada in May, and the announcement last week of an agreement to acquire DERYtelecom for $405 million. The regional cable company is the third largest cable operator in Québec and serves approximately 100,000 customers. Third, we intend to continue playing an active role as an effective and disciplined regional cable consolidator. To do so, we are also counting on our reputation of being a responsible and respectful acquirer for all stakeholders involved, including the employees, the communities we operate in and the owners of the businesses we acquire. Fourth, our data hosting business Cogeco Peer 1 was sold last year, enabling Cogeco Communications to focus on its broadband platform and to initiate a large share buyback program, resulting in $175 million buyback in the first year of the program, in addition to a dividend, which has grown 10% annually. Fifth, in Canada, we expanded our 1 gig service to over 70% of our footprint. I’ve just started rolling out our new IPTV service and I’ve won a good share of available government funding dedicated to increasing connectivity in unserved and underserved regions. Finally, Cogeco Communications is now in a unique North American broadband platform with close to half of its revenue generated from its U.S. operation, and we continue to forge ahead with our plan to enter the mobile services market to provide more choice to Canadian consumers. Let me continue with a reflection on the key fiscal 2020 accomplishments. Our focus at the start of the fiscal year was on building on the many transformative projects that we’ve put in place in 2019 and refining our strategy for continued long-term growth. We made changes to our leadership team at Cogeco Communications, welcoming a new President at the Atlantic Broadband, Frank van der Post, at the start of the fiscal year, who brings a solid go-to-market expertise and announcing later in the year, an equally capable new President at Cogeco Connexion, Frédéric Perron. As we said about ensuring our plans move forward, we were suddenly facing the spring with the swift arrival of COVID-19. Cogeco subsidiary have quickly adapted their services through the implementation of personalized measures to offer customers more flexibility, while encouraging them to make use of our online services, including self-serve, self-installations and self-repairs. We have capitalized on a number of initiatives which were implemented in the spring to accelerate our digital transformation program, as we expect that many customers will continue to use our online tools after the pandemic. We were able to provide our customers highly reliable connections, thanks to the capacity, reliability and robustness of our network, which experienced significant and unprecedented peaks of usage up to 70% increase during the day. Despite the many challenges of the crisis, which is still gripping our world, we have maintained financial discipline resulting in little overall impact on Cogeco Communications fourth quarter and annual financial results. This key accomplishment is attribute to all of our employees, which have worked tirelessly throughout the crisis and still today to make sure that we maintain high quality connectivity services and increase access to information and entertainment in this time of crisis. However, the financial results of Cogeco, Inc. were more impacted during the second half of the year due to its exposure to the media business, as radio advertising revenue was significantly impacted by the pandemic. On a positive note, the revenue declined in the fourth quarter with slightly less than experience during the third quarter, and advanced bookings for the new fiscal year are improving. Let us focus on the key initiatives at Cogeco Connexion first by addressing acquisition. Even though the Canadian market is more consolidated than the U.S. market, we were successful in securing two acquisitions. In May, we closed the iTéract acquisition, a full telecommunications service provider in Southern Québec, serving approximately 2,000 customers. But as part of this transaction, we acquired 15 exclusive 3.5 gigahertz spectrum licenses covering a large region of rural Southern Québec, which will help in expanding our network in underserved and unserved regions and launch a wireless service if the regulatory environment is favorable. We continued our expansion with the announcement last week of an agreement to purchase DERYtelecom, the third largest cable operator in Québec. This transaction will enhance the scale of our Canadian operations and is one of the few remaining sizable opportunities in Canada. This key strategic acquisition will increase our foothold in Québec, and complementarity with geographic areas, enabling us to further pursue our regional edge out expansion. In the last year, DERY generated mid single digits revenue growth, which we expect to be able to realize over the next few years, as we add our product line out to those of DERY and invest further in sales and marketing. We intend to increase the penetration of internet services currently sitting at 46.5% by continuing to invest in speed upgrades and enhance Wi-Fi functionality. We also expect to introduce our new IPTV product and rollout our commercial services product suite. DERY, as an attractive demographic profile aligned with Cogeco’s target market, its competition is also more fragmented with approximately 60% of the footprint covered by DSL competition, demonstrating the superior growth opportunity. DERY secured government subsidies to expand its network by approximately an additional 5,500 households over a three-year period, and there’s a weighting answers do a number of other projects submitted as part of broadband funding programs. In addition, we expect to be able to achieve significant cost synergies over the next three years, as we interconnect our systems, integrate our IT systems, and benefit from further economies of scale. For the first full year of operations under Cogeco’s management, we expect that the acquisition will add 7% to our Canadian EBITDA, and from a consolidated basis, we’ll add close to 4% to our free cash flow. Let me continue on the network upgrade and expansion. And I would first note that we have committed to invest approximately $250 million annually in capital expenditures in Canada to upgrade and expand our networks if we exclude larger acquisitions, such as DERY and the wireless initiative. And as I mentioned, earlier in fiscal 2020, we expanded our 1 gig service to over 70% of our footprint. And I’ve just launched our IPTV service. In addition, we are very active in various government programs in Canada to provide high speed internet to underserved areas. Cogeco was recently awarded 16 projects in Québec and in Ontario, and as applied, to more than 100 additional projects, which are currently being reviewed. Cogeco has submitted targeted regulatory change designed to increase competition in Canada’s wireless market as part of the CRTC consultant. Cogeco’s proposed Hybrid Mobile Network Operator, HMNO model, would enable the sustainable entry of new wireless carriers across Canada with particular benefit to underserved regions. This proposal will allow facility-based wireline and wireless service providers to access portions of the national incumbent wireless networks, while also requiring those regional providers to invest in their own telecommunication infrastructure. Cogeco believe that there has been a number of positive development in the quarter regarding the CRTCs wholesale internet service 2019 costing decision, following an industry cabinet appeal in its August decision, the government express its concern that that the rate established by the CRTC in August 2019 may undermine investment in high quality networks, particularly in rural and remote areas. In September, the CRTC approved the request submitted by the cable carriers to stay the implementation of the 2019 announced rate for aggregated to wholesale high speed access service until it completes its review of that order. Let’s now focus on the key initiative at Atlantic Broadband, where under the leadership of Frank van der Post, we put several initiatives in motion, aim at providing a greater customer experience. We implemented a new interactive voice response system, puts more emphasis on our self-installed program and launch a virtual connect tool, which will reduce the number of customer calls. We grew our product offering, launching our TV online app, and HBO Max, as well as adding SHOWTIME ANYTIME, YouTube Kids and Amazon Prime on the TiVo platform. We acquired what was formally Thames Valley Communications adding approximately 10,000 customers within our existing geographic footprint, continued our expansion in the floor of the markets and executed targeted edge outs in all regions. In addition, important organizational change were made to streamline functions, reinforced center of expertise, and achieved efficiency that will allow Atlantic Broadband to remain agile in the marketplace. Cogeco Communications consolidated financial results, for the quarter, revenue is up 3% and EBITDA up 6.2% in constant currency, when compared to the same period last year. Reported revenue reached $605.2 million and EBITDA reached $294.5 million generating margins of 48.7%. Cogeco Connexion achieved an EBITDA growth of 5.7% or 3.4% if we exclude non-recurring items, which is a very strong performance, considering the negative impact that pandemic is having on our economy. For a second quarter in a row, internet connections were very strong. Atlantic Broadband 7.2% EBITDA growth in constant currency and organic growth of 5.9% was even stronger than the third quarter performance. Primary service unit net ads of 20,653 almost tripled in the quarter compared to last year, mainly as a result of significant increase in internet connections, as more customers are looking for a highly reliable service when working from home in the context of the COVID-19 pandemic, as well as new bulk activations in Florida. We announced an increase in the quarterly dividend from $0.58 to $$0.64 per share representing at 10.3% increase over last year. Let us now look at the individual components. Cogeco Connexion reported revenue increased by 1.3% relative to the same quarter last year, mainly due to the customers’ transition to higher value offerings, a significant increase in internet connections for a second quarter in a row, growth in commercial services and a rate increase. Cogeco Connexion’s EBITDA increased by 5.7% relative to the same quarter of last year, as a result of increased revenue and lower operating expenses. If we exclude non-recurring items totaling approximately $4 million, EBITDA would have still grown by 3.4%. We are happy with the PSU performance with internet subscribers increasing by approximately 9,000 during the quarter. Atlantic Broadband revenue and constant currency increased by 4.9% in the fourth quarter compared to last year. While EBITDA increased by 7.2% excluding the impact of the Thames Valley acquisition, revenue and EBITDA would have grown by 3.5% and 5.9%, respectively. Organic revenue growth comes mainly from both residential and business internet service customers, and rate increases mostly implemented during the fourth quarter of fiscal 2019. The superior organic EBITDA growth was mainly due to revenue increasing at a greater pace than operating expense as these are managed diligently. Atlantic Broadband added over 13,000 new internet customers, a sharp increase compared to the prior year. Let us now take a look at Cogeco, Inc. In the fourth quarter consolidated revenue increased by 1.6% and EBITDA increased by 6.1% in constant currency. While the broadband business add strong results, the smaller media business continued to be impacted by the COVID-19 pandemic as the lower level of economic activity notably in the retail industry, add an impact on advertising revenues. Revenue related to the radio operations decreased by 29% in the fourth quarter compared to the prior year, a slightly lower decline than in the third quarter. However, EBITDA improved over last quarter as Cogeco maintained cost control measures while preserving the quality of the content offered to our listeners. We also avoided significant bad debt expenses through an active management of our accounts. We will continue to monitor the situation closely in the coming quarters, a significant uncertainty remains for the economy in general, and more specifically for a certain category of advertisers. We do however expect our media business to be in a strong position from a market share perspective when the situation eventually stabilizes. We announced an increase of 14.7% than the quarterly dividend from $0.475 to $0.545 per share. I will now discuss the financial guidelines. On a constant currency and consolidated basis, Cogeco Communications expect low single-digit percentage growth in revenue and EBITDA for fiscal 2021. Both metrics should increase mainly as a result of organic growth at the Atlantic Broadband for both the residential and business sectors, the continued expansion in Florida, annual rate increases and the full year effect of the Thames Valley Communications acquisition completed on March 10, 2020. At Cogeco Connexion, revenue growth should stand from growth in the business sector and internet customer additions. The capital intensity should remain essentially stable at approximately 20%. At Atlantic Broadband, capital expenditures will be driven by our continued Florida network expansion and additional investments in our network infrastructure in the areas we serve. At Cogeco Connexion, we expect lower customer premise equipment costs as a result of the progressive launch of our IPTV solution, upsetted by a gradual acceleration of investment to expand our network footprint across Ontario and Québec, where we participated in various government sponsored programs. Free cash flow on a constant currency and consolidated basis is expected to grow at low single-digit percentage. We expect year-over-year growth to be stronger in the first half of the year since the second half will be compared to a stronger second half of fiscal 2020. At Cogeco, Inc., we expect low single-digit revenue growth, essentially flat EBITDA, and low single-digit free cash flow growth. Cogeco expects flat EBITDA as radio results should be weaker as the COVID-19 pandemic continues to impact adversely advertising revenues. Note that the financial guidelines do not reflect the recently announced acquisition of DERYtelecom. Guidelines will be updated once the company completes the acquisition most likely before the end of the calendar year. As you can see, fiscal 2021 looks very promising, despite the unfavorable economic impacts related to the pandemic, as we will continue to manage our costs closely and pursue profitable growth through various organic initiatives and acquisitions. Pro forma in the DERYtelecom acquisition, our net leverage is estimated at 2.7 times, leaving ample room for other acquisitions and share buybacks. True to our commitment to bring new services and competitive choice to our communities, especially in underserved regions, we remain engage in launching a wireless service in Canada if the regulatory conditions are conducive to meeting our financial return objectives. Finally, I would like to conclude by saying how proud I am that we receive last July, the Caring Company certification from Imagine Canada. It’s recognized our leadership in community investment and social responsibility, which is a fundamental part of our history and DNA, and is increasingly important in times of crisis. And now, we will be happy to answer your questions.
Operator: [Operator Instructions] Your first question comes from Drew McReynolds from RBC. Please go ahead. Your line is open.
Drew McReynolds: Thank you very much. Good morning, and thanks for taking the questions. Two big picture ones for you, Philippe, and then a housekeeping one. On the big picture, you covered off and reiterated obviously your desire here in Canada to get into wireless. It’s been the position I think of Cogeco that you see sustainable growth in wireline with or without wireless. I’m wondering if that position is evolving, obviously given a lot of 5G initiatives across North America that are underway and convergence, and down the road the importance of the B2B market in driving incremental revenues overall in the sector. So I would appreciate just an updated thought there. Also, you alluded to the uniqueness of the North American platform. Could you highlight for us some of the benefits that you see by having a presence both sides of the border there? And just third on the housekeeping item, CapEx intensity at 20%, a little bit higher than what we were penciling into our model. Wondering just to unpack that here in fiscal 2021 and the extent to which it remains, I don’t know if it’s elevated, but at that 20% level through the medium-term? Thank you.
Philippe Jetté: Thank you, Drew. Well, on the first topic, we have said many times and demonstrated through our results that we can continue to grow, and for the long-term, our wireline business broadband continued to grow. There is a steady demand and we see it in times of a pandemic that there is a very solid and growing demand for home connectivity. Now, part of the internet at home additions is also a move from the mobile only usage. So you referred to the 5G investment. Yes, that’s the future of mobile telecommunication, but home – inside the home there is a massive amount of data that more and more devices are consuming and this home needs to be fed by wired networks. The mobility network is convenient when you move between homes, but inside the home with all the video, with all the internet, the video conferencing, the business services that we consume more and more, there is a very solid demand for wireline and broadband network. So we will continue growing on the wireline side. And the opportunity for us is really to add mobile as a product in our portfolio as you know we are a very focused company with three products and the addition of the fourth one as to meet our financial objectives. Right now, we’re working with as you know for some time with their regulatory bodies to make sure that we can find actually enlarge the regulatory policies to support the expansion in regional territories, dense urban centers are well-served. Now, we have to turn to regional wireless and mobile quality, high quality operations and Cogeco and other regional operators will be part of that. The next part of your question was about the synergies really about ABB and CCX. The way we’ve shaped our operations, we have developed a very significant number of synergies with shared services, with expertise centers between the corporate group, as well as the ABB and CCX team. So all these initiatives and the increase in synergies actually translate in margins – in the margins we have, and we continue to work very well all together, so this will continue for the long-term. And in terms of capital intensity, we have some projects like the introduction of IPTV that is actually going to lower our costs on the video side in the Canadian operations, but we have a significant market expansion and agile programs to better serve the underserved and unserved areas. The governments are very, very eager that all Canadians and Americans be connected their home and cottages to internet then we’re working really hard to meet the appetite of that market.
Drew McReynolds: Okay. Thank you, Philippe.
Operator: Your next question comes from Vince Valentini from TD Securities. Please go ahead. Your line is open.
Vince Valentini: Thanks very much. Let me start on CapEx as well. Philippe, is it possible to articulate what you think CapEx intensity would be in 2021, if you didn’t have those edge outs, if you just maintain your operations for current footprint as opposed to adding new households would be – would we be seeing a trend down to the 18% to 19% range instead of 20%?
Patrice Ouimet: Yes. Hi, this is Patrice. Yes, absolutely, we’re doing a bit more than we would have planned initially, and that’s good news. Actually, we’re doing a lot of effort to minimize the maintenance CapEx. So that goes through minimizing the CPE costs, increasing self installation, which is good for the customer and good financially as well. But when we see opportunities for growth in terms of growing our footprint in an attractive way financially, which is in part through these government sponsored programs then we do it. So we definitely would be lower. I don’t have an exact figure, but probably around 18% or so without this. And then for also addressing group’s questions for future years, we’ll see how this plays out. We have put in a number of bids for these projects and those projects are multi-year. They’re all small projects, but they add up together. And as we have more clarity on what we’ll be able to do, we’ll come back to the market later on in the year to talk about future years, but not for now we do have some expansion CapEx in addition to what we normally do as expansion in 2021.
Vince Valentini: Okay, thanks. And another question on broadband, especially in the U.S., I find your presentation a little understated. I mean, your sub-adds are remarkably good, they’re 5.5x higher than what you did in the fourth quarter of last year and given the size of your base 13,500 is a big number. Is there anything you can talk to there? Was there something unusual as a bulk contract or something that came through in the quarter? Or is this just the new trend? And if so, do you have any sort of thoughts on how September and the first quarter are trending? Or are things remaining just as strong as that on the broadband growth side?
Patrice Ouimet: So, we’re obviously very pleased with what we’ve been able to achieve. A portion of it comes from the COVID situation. Obviously, there’s more needs for home lines and fast lines. And as you know, especially in the U.S., our competition outside Florida is primarily DSL. So that plays to our advantage. We still see some good trends going forward, but obviously if you think about home that has decided to upgrade their speeds and change providers often this will have been done already. So we don’t expect it’s going to be as strong in the coming year, but we’ll have to see, we were, again, pleasantly surprised in Q4 to have those subs. So if you look at the ABB for the coming year, we don’t provide exact guidance, but I would probably point towards the previous year of 2019, which was a more normal year, where you don’t have the extra events coming from the pandemic situation, but it’s still – we still have sizeable increases in internet subs in that year.
Vince Valentini: Thanks. And one last one from a big picture perspective, you’re putting up pretty decent organic results. You’re tacking on acquisitions to grow your footprint accretively yet your share price is down close to 20% year-to-date, depending on whether you look at CCA or CGL, which is actually worse than any other cable or a cable stock we track. Can you give us any color as to when you sit around the boardroom table what the board members are saying? Are they just saying, oh, just be patient, it’s – these results will eventually get rewarded? Or is there any sense of urgency that maybe some of their actions are needed to surface shareholder value?
Patrice Ouimet: Well, we continue to focus on what matters most, which is to continue our growth plans to deliver value for all stakeholders to really stay close to our markets, understanding the need and enhance our customer experience. So these are the fundamentals and we will stay focus on what matters and what’s matter is growing our business and improving our service.
Vince Valentini: Can I just follow up in Philippe if that’s the case and you still have a fairly clean balance sheet, even after the DERY acquisition and cash on your books, can you really consider making acquisitions when your share price multiple, is this low? Is it possible you could just accelerate share buybacks using that balance sheet capability instead of putting more money into premium priced acquisitions?
Philippe Jetté: Yes, so we’ve been doing both actually. We have a lot of capacity to add in terms of acquisitions. We could finance a billion dollar U.S. transaction if we had one that that was ready to announce. And we could do bigger numbers than this as well, but that would be the simple part just raising money. As you know, we generate a lot of free cash flows in both countries, this is something we always focus on and we’re able to de-lever. So we’ve been able to be very active in the NCIB. In the first year at CCA, we did 90% of the maximum, so that was if I recall $175 million. When the COVID the hits, we slowed down a little bit just to be careful, but we still maintain this. And since September with the hostile bid, then we had to stop, so far we have not reactivated this. We are planning to, but there is a legal implication, so that’s something we’ll be looking at. So, definitely we’re very interested in continuing to be active in the share buyback, in addition to looking at acquisitions.
Vince Valentini: Thank you.
Philippe Jetté: Thank you.
Operator: Your next question comes from Jeff Fan from Scotia Bank. Please go ahead. Your line is open.
Jeff Fan: Thanks, good morning. Just to follow up on Vince’s question regarding share buyback. Would you be interested or would you think you have the capacity to go beyond the NCIB program to buyback more than the substantial portion of your own shares? Especially given the hostile situation that’s on the way, and if that doesn’t come to any kind of conclusion. That’s the first question. And then the second question is just regarding wireless. I know a lot of that is in place on the CRTC coming to terms with your HMNO proposal. If the CRTC doesn’t side with you on that proposal, and they go another path, what is your plan B regarding wireless and spectrum?
Philippe Jetté: Jeff, on the first one on the buyback in terms of going past our – the NCIB and doing something more substantial in general we want to keep some capacity to do both, because obviously we want to continue to be an active player in the consolidation of the industry and then we’ve been successful in doing it so far. If you’re referring to a special situation where there would be a block of shares available, we could certainly be part of the solution if this became available, but we’ll have to see if it does become available at one point.
Patrice Ouimet: Yes, on the second one for wireless, let’s – we are focused on our HMNO plant. There is market power that was demonstrated by the CRTC twice now through the two public hearing process. So the government as well is very interested to see more options and lower price for consumers. So the HMNO and our proposal, it’s not just something for Cogeco. It’s actually something for a lot of regional operators throughout Canada. And it’s about bringing more choices and competition outside of the dense urban centers. So they’ve been well-served, that’s where the majority of Canadians were, but now we need as a country to expand us in regional underserved and unserved areas. And Cogeco was so well supported, we have deposited in our requested CRTC at the same time over 300 letters from cities and towns and municipalities that actually want a better service, more options, lower price and a region. So all – throughout Canada, many others – other regional operators will actually benefit from that, and it’s a matter of time for the CRTC to come to conclusion. But honestly we are first convinced and second it’s a matter of time. So we’re staying with plans A.
Unidentified Analyst: Great. Thank you.
Operator: Your next question comes from Matthew Griffiths from Bank of America. Please go ahead. Your line is open.
Matthew Griffiths: Thanks. Good morning. Thanks for taking the question. I really, I had two kind of relate, one, guidance for Canada, you point out a growth coming from business and sub-growth with broadband. And I couldn’t help, but notice the disclosure around the impact that the aggregative wholesale rates would have if it was finalize and put into place, kind of grew from $10 million in 2019 to an estimated $18 million in 2020. So notwithstanding the actual rates, but just the activity of the wholesalers seem to be gaining some traction and momentum. Is this playing into the growth overall? The ability to pass on price increases in the Canadian market? Maybe you can just speak to those two things would be helpful. Thanks.
Philippe Jetté: Hopefully I will address your two questions. But just on the increase in the value, the 2019 rates would have. 2019 being the proposed rates that are being reviewed right now by the CRTC and that the cabinet basically has commented on a couple of weeks ago saying that basically the CRTC had to review those rates in phase of the operators need to continue to invest in networks and bring capacity to consumers. You have, there’s actually a couple of elements in their growth and that differential and the main one has to do with speed upgrades that were done by the customers over those CPIAs. And under the proposals there is not really a variation in the price per speed. Whereas right now the rates that we’re using are the 2016 rates, and there is a different – there’s a pricing grid per speed. So you should not assume that there’s been a clear acceleration in the number of subscribers. It mostly has to do with the speed that people are consuming. And there’s also a bit related to the not the speed, but the actual consumption per month. That’s another element in the revenues we generate. Did I address your two questions? I’m not sure I got the second one.
Matthew Griffiths: Yes. No, it’s you did. Thank you. So it’s not an increased activity just to increase on elements that make up the price. So that’s clear. Thank you.
Philippe Jetté: Thank you. That’s our main reason.
Operator: Your next question comes from [indiscernible]. Please go ahead. Your line is open.
Unidentified Analyst: Thanks for taking my questions. So we’ve seen free cash flow in the quarter was, maybe a bit lighter than your recent expectations from this summer. We’ve talked about faster network deployment for Fiscal 2021, but was that also the case in the quarter?
Philippe Jetté: Yes. Definitely the quarter, we ended up spending more than we thought in the quarter, but it was for good reasons. So the two main reasons were more PSU than we had initially forecasted. So again, that’s good news because we liked having more PSUs and that’s requires some CapEx or success-based CapEx. Also we had plans for some disruption in construction in Florida, given the situation with the pandemic and it turns out that we built a bit faster than we thought. So I would say these are the two main reasons and there’s been a bit of equipment purchasing. The third reason would be equipment purchasing that we did. Again, during the pandemic, you can – we did not experience real shortages in equipment but certain categories of the equipment we bought a little more than usual to make sure that we would not be caught short on inventory.
Unidentified Analyst: That’s interesting. Thank you. And we heard yesterday stronger wording on rural deployments on fixed wireless from T-Mobile. Are you seeing an exploration in that technology over your footprint in the U.S.? And maybe a few words on, if you have any from what’s the mobile side yesterday?
Philippe Jetté: Well fixed and mobile wireless need spectrum. So you’ve seen us, we have started to acquire spectrum licenses and we’ve gathered a starting set of spectrum assets. So we are looking at expanding our footprint with fixed wireless access. So that will be mainly for regional and rural areas where it’s faster to reach some groups of housing by wireless. And we will naturally grow our fiber optic networks. So eventually we will replace those of wireless connection with much faster fiber optic links to every home. And we will just push our wireless equipment further out there to reach even more remote housing areas. So that’s how we plan to use fixed wireless access in Canada and the U.S., but it needs to start with spectrum that we have started to acquire and accumulate. On the specific to the U.S. with T-Mobile, I’m not too sure, I can’t really comment about their strategy there, but I just described what we’re thinking about fixed wireless access.
Unidentified Analyst: Okay. Thank you.
Operator: [Operator Instructions] Your last question comes from Matthew Lee from Canaccord. Please go ahead. Your line is open.
Matthew Lee: Hey, good morning. So just on the business front, can you maybe give us an update on the U.S. B2B performance? Have you started to see a recovery in that market?
Philippe Jetté: Yes. So, our total business sector in Q4 was up 0.5 point, so that’s 0.5 percentage point year-over-year. That’s where the two countries and actually the two countries have grown a little bit during the quarter. So overall, if you look at the services we offer, Internet and phone lines have done fine. Normally we’re growing fast this time obviously with pandemic we’re not growing really, but it’s a stable business. And this is offset – it was mainly for the last quarter, but offsets on the video side for certain hotels and restaurants. So when in certain regions they are closed, then we don’t provide the service during that period of time. So it’s been spotty during the last six months, but overall we are fine. That’s something we’re watching closely. And when you think also about the future, the last thing a business will want to reduce is the internet connection unless the business is not there anymore. So far we’ve been – we’ve been doing okay, but not during the pace we’re used to.
Matthew Lee: That’s fair. And then in terms of subscribers in Canada, your number – your second half numbers are really solid. Is there anything driving that beyond the usual demand for speed and upgrade, or are there any one-time items that have driven that subscriber growth?
Philippe Jetté: Yes. So, there is no one time item, like sometimes we will have big bulk agreements in Florida that will be there in the quarter. It’s not the case this quarter, so it was more spread towards the various territories. And again we typically grow internet, but it’s been faster than usual as we pointed out. And we think it’s in large part due to the pandemic. So our competition in the U.S. outside Florida, which is a special case and outside Florida is by far the SL competition. So that means that the video is carried through satellite. It means that the internet is limited at typically 15 megabits, whereas we offer 1 gig to 90% of the territory in the U.S. So that’s mainly it, and a lot of people moving from slower competitors. And also, as Philippe mentioned earlier, some people that are mobile only and now are working partially or fully from home and want a dedicated line because of the past, that’s the best way of getting it quick as a home-ready environment.
Matthew Lee: Right.
Philippe Jetté: So, it has totally to do with the products. We offer a much faster product. In most cases it’s unlimited, it starts at 120, it goes to 1 gig in speed. So the DSL competition and the mobile only competition can cope with that.
Matthew Lee: Right. Fair enough. And then just lastly, on the acquisition front in the U.S. I mean, it looks like the competitive intensity for U.S. cable closed, it started heating up from an M&A perspective. Is your pipeline still strong there or maybe has that lightened up?
Philippe Jetté: Yes. So there’s a – and that’s something we’ve said before does about 30 to 40 companies that could be of interest if they were for sale. And we were happy to proceed both due diligence. There’s been a reduction in intensity in – at the beginning of the pandemic. So starting in March, so some deals were pulled and we’ve seen some deals come back to market. You probably saw some announced. So we’re probably back to normal and we’re always interested in, and looking for acquisitions. And the latest one has been in Canada. It was top on our list the daily acquisition and that we – that are definitely continuing to be in the market for more acquisitions in U.S.
Matthew Lee: All right. Thank you very much.
Operator: We have no further questions in queue. I’d like to turn the call back over to the presenters for any closing remarks.
Philippe Jetté: Okay. Well, thank you everyone and we’ll be back for our first quarter earnings results in January, and feel free to call us if you have any questions in the meantime. Thank you.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.